Operator: Good day, and welcome to the Stoneridge, Inc. Second Quarter 2025 Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kelly Harvey, Director of Investor Relations. Please go ahead.
Kelly K. Harvey: Good morning, everyone, and thank you for joining us to discuss our second quarter 2025 results. The release and accompanying presentation was filed with the SEC and is posted on our website at stoneridge.com in the Investors section under Presentations and Events. Joining me on today's call are Jim Zizelman, our President and Chief Executive Officer; and Matt Horvath, our Chief Financial Officer. During today's call, we will be referring to certain non-GAAP financial measures. Please see Slide 2 of the presentation for a more detailed description of these non-GAAP measures and the appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. In addition, certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties, and the actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found on Page 3 of the presentation and in our Form 10-Q, which has been filed with the Securities and Exchange Commission under the heading Forward-Looking Statements. After Jim and Matt have finished their formal remarks, we will then open up the call to questions. And with that, I will hand the call over to Jim.
James Zizelman: Thanks, Kelly, and good morning, everyone. Let me begin on Page 4. In summary, our second quarter performance highlights our continued progress across all of our key initiatives. This quarter, we set yet another record for MirrorEye sales. We announced our largest ever program award in the history of the company. We improved our quality-related costs and continue to improve our balance sheet through reduced net debt and improved inventory balances. Stoneridge continues to be the leading provider of camera vision systems globally. Our record-setting quarterly sales for MirrorEye resulted in an impressive 21% growth relative to the first quarter of 2025. This is driven by the continued ramp-up of our previously launched OEM programs and the launch of 2 additional OEM programs in North America. MirrorEye continues to be a strong growth driver for Stoneridge as the system continues to gain momentum with incremental OEM demand and continued expansion in our aftermarket applications. We also continue to focus on and improve our balance sheet by driving working capital reductions through continued management of our inventory and the execution of a global program to repatriate cash and reduce our overall net debt. Our continued focus on reducing our inventory resulted in a $7.3 million reduction over the first quarter. Second quarter free cash flow of $7.6 million increased by approximately $5.9 million relative to the second quarter of the prior year. We also executed on a $44 million tax- efficient international cash repatriation project, which contributed to the reduction in total debt of $38.8 million during the quarter. For compliance purposes, this translated to a reduction of almost $20 million in net debt during the quarter, and Matt will provide further details on our financial and cash performance later on this call. Our long-term growth strategies are paying off. We are proud to announce several significant new awards for both our Electronics and Stoneridge Brazil businesses. In total, these awards represent approximately $775 million in lifetime revenue, significantly contributing to our long-term growth trajectory. Among these is our largest program award in company history, which is a program extension for one of our existing global MirrorEye programs through 2033. As a trusted, reliable partner for this global commercial vehicle supplier, our ability to consistently deliver high-quality systems and technologies for current programs enabled us to win new business for their next-generation programs. I'm also pleased to announce new program awards for our next-generation tachograph, SMART2, and new programs and extensions for commercial vehicle secondary display and electronic control unit programs. Adding to Electronics success, I'm excited to announce that Stoneridge Brazil was awarded a very significant program as a provider of an electronic control unit for an infotainment system to a passenger vehicle OEM customer. This business award is estimated to generate approximately $85 million of lifetime revenue with approximately $20 million of peak annual revenue, representing the largest OEM business award in Stoneridge Brazil's history. This award aligns with our global growth initiatives to further expand our Brazil OEM business. While market conditions remain complex, we remain resilient in our focus on the factors within our control. Stoneridge continues to focus on maximizing performance through manufacturing and operating efficiencies, improvements in material and quality-related costs and finally, prudent cost control aligned with current market dynamics. Page 5 summarizes our key financial metrics for the second quarter of 2025 compared to the first quarter. Excluding the favorable impact of foreign currency translation of approximately $8.6 million, second quarter sales were approximately in line with the first quarter. Stoneridge-specific growth drivers, including yet another record sales quarter for MirrorEye as well as higher sales in the North America passenger vehicle end market and off-highway sales fully offset lower sales in the European commercial vehicle end market. Driven by continued strong progression on key company initiatives and our long-standing focus on operational excellence, our core operational performance remained resilient against the external market headwinds we faced during the quarter. Our focus on built-in quality, responsiveness and proactive processes to address quality issues resulted in continued reduction in quality- related costs relative to the first quarter. We continue to focus on material cost improvement actions, continuous improvement in manufacturing performance and company-wide efforts on reducing quality-related costs. Second quarter operating margin improved by 40 basis points relative to the first quarter, driven by our continued focus on operating cost initiatives. Reduced engineering expenses relative to the first quarter as a result of our continued focus on efficiency in our engineering organization as well as adjustments to incentive compensation to align with current market conditions contributed to this favorable performance. Second quarter adjusted EBITDA of $4.6 million or 3.3% (sic) [ 2% ] of sales was significantly impacted by the unfavorable impact of nonoperating foreign currency of $3.4 million. Excluding the impacts of nonoperating FX expense, second quarter adjusted EBITDA improved by approximately 20 basis points compared to the first quarter. Turning to Page 6. Our long-term strategy focused on industry megatrends and advanced technologies continues to drive strong long- term growth prospects. Now let me give you some additional detail on our newest global MirrorEye program extension. As a trusted and dependable partner, we have consistently delivered high-quality systems and technologies that meet the evolving needs of our customers. Being selected for our customers' next-generation program is a testament to the value our MirrorEye system brings not only to our customers but to their customers as well. As a trusted supplier, we work closely with our customer to develop the next version of the system, which will contain incremental upgraded technology. With this award, the existing global MirrorEye program will be extended through 2033 on multiple nameplates in both Europe and North America. Based on the volume expectations included in the award, our customer projects peak take rates higher than 80% for heavy-duty commercial vehicles sold in Europe, which translates to over 50% of the vehicles our customer produces in that region. In North America, take rates are in line with current expectations, primarily due to relative immaturity of the North American market. As a result, this MirrorEye award represents our largest single award in company history with an estimated lifetime revenue of approximately $535 million and an estimated peak annual revenue of approximately $140 million. This next-generation award involved every part of our organization, and I'm extremely proud of our team's success. As the largest single program award in the company's history, it will contribute to our substantial growth for many years to come. Turning to Page 7. This morning, I'm extremely excited to announce as a follow-up to our prior commentary that we have reached a supplier agreement to offer MirrorEye with yet another prominent North American OEM. Expected to be available by the end of this year, this program marks an important milestone as MirrorEye is now available from every single North American OEM. Expected to be among the first to order the system are several new large fleets. This quarter marks an important milestone as 2 additional OEM programs have successfully launched in North America with Daimler Truck North America and Volvo Trucks North America now offering MirrorEye systems on several different nameplates. As expected, the initial feedback received from our customers has been extremely positive, and we are expecting higher take rates as the programs continue to ramp up. We are focused on supporting our customers and fleets as these programs continue to ramp up throughout the remainder of the year. Finally, we are also investing in the technologies and capabilities that will drive long-term growth. Just last week, we announced the availability of the next-generation MirrorEye camera monitor system for buses and rigid vehicles, the MirrorEye multipurpose 2. The system's upgraded compact design makes it ideal for buses, coaches and rigid vehicles as it provides cutting-edge technology, ensuring consistent image quality and uniform performance across all monitors. This next-generation system also supports compliance with the new general safety regulation in the EU, which mandates the adoption of advanced technologies to improve road safety. This new generation multipurpose system brings advanced features to the market, including blind spot and forward-facing detection and digital video stream output for recording purposes. The system is designed to display warnings in the most intuitive locations for drivers directly on the monitor, where they can immediately see at-risk cyclists and pedestrians. The new digital video stream output provides seamless integration for recording purposes, which is essential for documenting incidents, helping establish liability, preventing fraudulent claims and assisting with insurance cases. Additionally, the recorded footage can be used for training new drivers, enhancing their awareness and safety on the road. Stoneridge continues to set new standards in road safety and vehicle technology. Designed with flexibility, compliance and advanced capabilities in mind, the system delivers unmatched visibility and safety for buses, coaches and rigid vehicles. Stoneridge is committed to advancing mobility solutions that prioritize safety, performance and innovation. MirrorEye and our strategy to create long-term growth for the platform is paying off with record new business awards, expansion across our global OEMs, fleet and bus customers and the continued development of incremental content and opportunities for our vision and safety platform. We will continue to deploy the resources necessary to optimize this growth platform and create long-term value for our shareholders. Turning to Page 8. In addition to the significant global MirrorEye program award, we are excited to announce several additional significant awards for the Stoneridge Electronics business. First, I am pleased to announce we were awarded a new commercial vehicle OEM program for the SMART2 tachograph. This SMART2 program is expected to launch on OEM applications in early 2028 on several medium and heavy-duty nameplates in Europe. The total estimated lifetime revenue for this program is approximately $40 million. Another program awarded this quarter was a secondary display program for medium-duty trucks. Through our secondary display, drivers can, for example, operate the radio, navigate or project applications from user devices. The secondary display was originally developed for the customer's heavy-duty commercial vehicle range. However, it will now be included in several different medium- duty nameplates in both Europe and North America. This program is set to launch in 2027 and extends to at least 2030 with the possibility for program extensions thereafter through 2032. Through our continuous delivery of high-quality products and focus on customer support, we also secured an award to continue supplying several different body and interior electronic control units for the next generation of trucks for an existing customer. In total, we expect approximately $115 million of total lifetime revenue for the secondary displays and electronic control unit programs awarded. And finally, turning to Page 9. I'm excited to announce a new business award for Stoneridge Brazil. The award is for an electronic control unit related to an infotainment program for a passenger vehicle OEM customer. This new business is expected to launch in the second half of 2026 and is estimated to generate approximately $85 million of lifetime revenue with approximately $20 million of peak annual revenue, representing the largest OEM business award in Stoneridge Brazil history. This new program aligns with our global growth initiatives to further expand our Brazilian OEM business. As represented by our substantial growth in the OEM business in the first half of this year as well as a significant program award, we are well on our way to expanding our portfolio in Brazil to align with our global growth initiatives. We believe that this award will create additional opportunities in the OEM space in Brazil, both with this customer as well as others, as we become a trusted, reliable supplier in this region as well. We expect continued momentum as we continue to shift our Brazil business to more closely align with our global growth initiatives. This quarter, we are announcing several substantial business awards, including the largest business award in the history of the company. We executed with reduced quality-related costs, and we continue to build on our improved operational performance to offset some significant market headwinds, particularly in the commercial vehicle space. We will continue to drive business development to create long-term growth and build on our strong operating fundamentals to expand earnings as we grow. And with that, I will turn it over to Matt for a review of our quarterly financial performance. Matt?
Matthew R. Horvath: Great. Thanks, Jim. Turning to Page 11. Sales in the second quarter were $228 million, including approximately $3 million of favorable foreign currency impact. Second quarter production sales were generally in line with our prior expectations. Second quarter adjusted operating income was $400,000, resulting in a 40 basis point improvement in adjusted operating margin relative to the first quarter of this year. Second quarter adjusted EBITDA was $4.6 million or 2% of sales and was heavily influenced by nonoperating foreign currency expense of $3.4 million. This was driven primarily by the impact of unfavorable FX rates on intercompany loans, which do not impact operating performance. As discussed earlier on the call, we also incurred $500,000 of incremental tariff-related costs due to strategic cost-sharing agreements with key customers. We expect to leverage these cost-sharing agreements into new business development opportunities going forward. Excluding the incremental tariff-related costs and nonoperating foreign currency impact, our second quarter adjusted EBITDA was approximately in line with our previous expectations. We continue to focus on improving the fundamental performance of the business. We are confident that these actions will drive earnings expansion as we continue to launch new programs and expand on our existing products and technologies. Page 12 summarizes our key financial metrics specific to Control Devices. Control Devices second quarter sales of $71.2 million grew by 1.9% relative to the first quarter, primarily due to higher demand in the North American passenger vehicle end market. Second quarter adjusted operating income of $2.8 million improved by 180 basis points compared to the prior quarter, primarily as a result of higher sales and improved overhead costs. Although the North American passenger vehicle market continues to improve, we are prepared for the possibility of continued volatility in our end markets as uncertainty remains related to tariff policies and the corresponding potential impact on demand. We will continue to focus on the things we can control, including advanced and new product development, commercial expansion and improvement in material cost and manufacturing performance to drive margin expansion going forward. Page 13 summarizes our key financial metrics specific to Electronics. Second quarter sales were $149.6 million. Excluding the impact of foreign currency, which benefited sales by approximately $8.1 million, second quarter sales were approximately in line with the first quarter. As Jim mentioned earlier on the call, MirrorEye revenue grew by 21% relative to the first quarter, which set a record for quarterly sales. This was primarily driven by the ramp-up of recently launched OEM programs, continued strong OEM take rates and continued momentum in the retrofit and bus end markets. Continued strong MirrorEye sales were offset by lower sales in the European commercial vehicle end market, including SMART2 sales after a record first quarter. We do expect SMART2 sales to normalize going forward. We remain confident that Stoneridge-specific growth drivers, including MirrorEye, will continue to offset market headwinds and drive market outperformance. Second quarter adjusted operating margin declined by approximately 190 basis points relative to the first quarter, driven primarily by an unfavorable sales mix due in part to reduced SMART2 sales. Slightly offsetting this decline was a $300,000 improvement in quality-related costs as we continue to focus on built-in quality and rapid response and mitigation of quality-related issues. We expect continued and increased downward pressure in the commercial vehicle end markets for the remainder of the year, particularly in North America, where third-party production forecasts and customer production schedules now indicate a decline of approximately 17.5% compared to last year. As I mentioned previously, we expect that MirrorEye revenue growth will continue to partially offset these market declines through the ramp-up of OEM programs, including incremental OEM demand as well as through continued expansion in our aftermarket applications. We expect to continue to drive improvement in material costs and quality-related costs throughout the year. As a result, we are expecting positive margin progression for the remainder of the year as the impact of our key initiatives mature. As highlighted by our significant business awards, we expect to continue to capitalize on our impressive portfolio of advanced technologies as next- generation programs are awarded. Page 14 summarizes our key financial metrics specific to Stoneridge Brazil. Stoneridge Brazil's second quarter sales totaled $15.3 million, which represents an increase of $900,000 or approximately 6% growth relative to the first quarter. This increase was primarily driven by higher aftermarket product sales, aided by favorable foreign currency rates as well as continued strong local OEM sales. As Jim discussed earlier on the call, we expect to continue to expand our local OEM business to grow our presence in Brazil and unlock opportunities with our global customers, highlighted by our major program award announcement this quarter. Second quarter operating profit improved by 230 basis points relative to the first quarter, primarily driven by lower material costs due to product mix and favorable foreign currency impacts as well as improved fixed cost leverage on incremental sales. We expect stable revenue and margins in 2025 as we continue to expand our portfolio in Brazil to align with our global growth initiatives and further expand our local OEM programs. Furthermore, Brazil remains a critical engineering center, which we will continue to utilize and grow to cost effectively support our global business. Turning to Slide 15. We are maintaining our full year revenue guidance, which now reflects lower production volume expectations in the North American commercial vehicle end market, offset by the expectation of favorable foreign currency impacts. IHS is forecasting an additional 2.2% reduction in our weighted average end markets relative to our prior guidance. This is largely driven by North American commercial vehicle production volumes, which are now expected to decline by approximately 17.5% this year compared to the prior forecast, which suggested a slight decline. That said, our customers have indicated the potential for additional decline given current overall macroeconomic volatility. We are maintaining our full year revenue guidance of $860 million to $890 million, and we'll continue to monitor the North American commercial vehicle market for potential signs of additional weakness and respond as necessary. As it relates to our updated EBITDA expectations, we expect to approximately offset these production volume headwinds with continued strong operating performance and reduced operating costs. That said, we are updating our EBITDA guidance to reflect the nonoperating FX expenses that we have incurred year-to-date, which were not considered in our previous guidance. In addition, although we have been successful in mitigating the vast majority of tariff-related expenses, we are expecting approximately $1 million in total incremental tariff-related costs for the year. These expenses are strategic decisions to share costs with customers where we expect to deepen existing relationships to drive business development opportunities going forward. We will continue to improve the fundamental performance of the business and focus on the variables within our control. Most importantly, we are continuing to build the foundation for strong incremental earnings as we grow next year and beyond. Turning to Page 16. We continue to focus on reducing our net debt and improving our leverage profile. During the quarter, we executed a global cash repatriation program that resulted in a tax-efficient repatriation of $43.8 million. We utilized this cash to pay down debt in North America, resulting in a total debt reduction of $38.8 million and almost $20 million of net debt reduction for compliance calculation purposes. In the second quarter, we generated $7.6 million in free cash flow, an improvement of $5.9 million relative to the second quarter of last year. We continue to focus on inventory management, which resulted in approximately $7.3 million of improvement during the quarter and over $34 million of improvement over the last 12 months. As we remain focused on our key working capital initiatives, we are expecting continued improvement for the remainder of the year. We remain confident the company has ample liquidity and flexibility to operate in the current macroeconomic environment. We are updating our previously communicated targeted compliance net debt-to-EBITDA leverage ratio to approximately 2.5x by the end of this year to align with our current guidance. With that, I will turn it back over to Jim to discuss the next steps in our long-term strategic plan for the company.
James Zizelman: Thanks, Matt. As I have discussed consistently throughout my tenure as the CEO of Stoneridge, this management team and our Board of Directors remain focused on creating value for our shareholders, employees and customers. As you would expect, one of our key responsibilities is to regularly assess the structure of our company to make sure we are aligned with our long-term strategic goals and positioned well for sustainable growth. Turning to Page 18. After thoughtful consideration and alignment with our Board of Directors, we are announcing the next step in our long-term strategy, a review of strategic alternatives for our Control Devices division with the primary focus being a potential sale of this business. As our business continues to evolve and grow, we need to ensure each part of our business has both the resources and focus needed to reach its full potential. As I outlined earlier in the call, we are seeing record-breaking business wins in several of our core growth platforms in both Stoneridge Electronics and Stoneridge Brazil. To support and accelerate these growth opportunities, we must dedicate our capital, our engineering resources and our leadership focus accordingly. MirrorEye continues to expand across the world with new record business awards. This creates additional opportunities to expand the platform to drive increasing content and system integration, including our connected trailer activities and other vision and safety products. Similarly, our position as a global leader in transportation electronics continues to expand with record business awards in Brazil for the South American market. The highest and best use of our resources is to focus on the growth and forward opportunities in Electronics and Brazil. Resources allocated to these businesses will drive the highest return profile for shareholders in our current structure. Similarly, a potential sale of Control Devices would allow that business to have dedicated ownership to focus on its specific needs, invest more deeply and facilitate new growth avenues for its employees and customers. Finally, with our process focused on a potential sale of Control Devices, we would use those potential proceeds to significantly reduce our current leverage profile and the interest expense burden driven by the current debt levels. This would improve our balance sheet and create additional options for capital deployment as the company continues to grow. We have engaged external advisers to assist us in this process and have not set a definitive timetable for completion. We are excited about this next stage of our long-term strategy. We believe this will create significant immediate and long-term value for shareholders and position us for sustainable success. Turning to Page 19. In summary, our second quarter performance highlights our continued progress across our key initiatives. As evidenced by the progress made so far this year, this team is laser-focused on executing on our key priorities to drive strong growth, continued margin expansion and an improved balance sheet. We will continue to focus on overall operating cost improvement and operational execution to drive strong contribution margin and focus on inventory reduction to improve our cash position and reduce our leverage profile. We will continue to focus on addressing the things we can control and reacting efficiently and effectively to conditions that are not in our control. We remain focused on building a strong foundation for continued earnings expansion as we capitalize on our impressive portfolio of advanced technologies. This was highlighted this quarter by new business award announcements totaling $775 million in lifetime revenue, including the largest business award in the history of the company. Stoneridge remains well positioned to continue to outperform our underlying markets and drive margin expansion, resulting in long-term shareholder value creation. And finally, we remain focused on driving shareholder value through optimization of our resources and assets. And as such, this morning, we have announced the next step in our strategic plan, which is a review of strategic alternatives for Control Devices focused on the sale of the business. Together, we are shaping a stronger, more focused and more successful Stoneridge. And with that, I'll open the call for questions.
Operator: [Operator Instructions] Our first question comes from Daniel Imbro with Stephens.
Daniel Robert Imbro: I want to start maybe on the MirrorEye contract announcement, the win. First, just a confirmation or check the box. I think they normally take years to ramp up. So I'm assuming that's a multiyear contract, that's not going to affect numbers in '25 or '26, but if you could confirm that. And then stepping back, is this expanding the TAM? Is this previously a contract you were going after that you just kind of pulled forward and realized some of that TAM? Or was this kind of off your radar? Just any color you can share around kind of what this does to the overall opportunity here?
James Zizelman: Okay, Daniel, first, thanks for the question. And number one, yes, this will not impact '25 and '26 revenue, not those business awards. They're typically extensions. So the largest one is an extension and that's beyond the current award and takes us through 2033. So hopefully, that clarifies that part. In terms of the award itself and what it means relative to TAM, first off, the award itself is essentially part of the TAM that we had anticipated. There's no question about that. But as we say in some of the verbiage in the call, it also allows us for expansion of the TAM. It allows us to expand the platform and be more apparent in things that allow us to further the vision and safety product portfolio for Stoneridge. So things like connected trailer, sensing technologies that would be attached to the connected trailer product, for example, would be further expansion of the TAM. So in many ways, the answer to that question is both. Yes, it sort of fills out the TAM that we have, and we're doing well in that space, but it also allows us to expand on that TAM. Hope that it's helpful.
Daniel Robert Imbro: Yes. No, it does. And I wanted to follow up. I think at the end of your first comments, you talked about maybe in addition to these new contract wins, some other fleet orders in North America, if we heard you right there on the commercial side. I guess, has that changed the 2026 outlook with these new wins, all else equal? Or were those already contemplated in that outlook?
James Zizelman: No, I would say that, that does actually offer an improvement in the 2026 outlook relative to fleet, because part of the commentary there was those new fleet customers were associated with our most recent OEM business win in North America. And we are aware that, that business win is, I'll say, viewed very positively by several new fleets that would be picking up those new OEM products that would contain our MirrorEye technology. So yes, I think that helps us from a fleet perspective, yes, in '26.
Daniel Robert Imbro: Any way to size up that benefit in '26 from these new fleet adoptions?
James Zizelman: Yes. That's a little bit harder to answer. As this gets launched and it ramps up, I think we'll have a clear picture. Probably better answerable in maybe 2 quarters or so from now once this is out there and the market is reacting to it.
Daniel Robert Imbro: Great. And maybe last one for me, and I'll hop back in the queue. Matt, maybe on just the guidance. So the nonoperational FX impact, it makes sense out of your control, but it was a bigger impact in 2Q. I guess given where FX rates have moved, should there be another headwind in 3Q just because year-over-year FX is still unfavorable? And if so, is that baked into the guidance? Or how should we think about just the puts and takes there?
Matthew R. Horvath: Yes. Thanks for the question, Daniel. The way to think about it versus our guidance forward is we use FX rates that are current to think about our forward guidance. The only reason that we had the change was because the nonoperating FX in the second quarter is the change from Q1 to Q2. So there shouldn't be any incremental headwinds, at least as FX rates sit right now. We're really just incorporating what we've incurred year-to-date on that nonoperating FX. And again, the $3 million headwind there is below the line. It's nonoperating, it's intercompany loans. So although it's obviously numerically a reduction in our midpoint, it's not operating performance-related reduction in any way.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Jim Zizelman for any closing remarks.
James Zizelman: Well, thank you, everyone, for joining us for the call. I know your time is very important. And as always, we truly appreciate your willingness to engage us. We are operating with an unrelenting focus on our key priorities, driving significant earnings expansion as we grow, and today's announcements regarding record-setting business bookings exemplify the clear effectiveness of our approach. We will continue to deliver on our commitments by focusing on quality improvements and material and manufacturing cost reductions, all while maintaining a clear focus on market dynamics and any necessary mitigating actions. In addition, we are laser-focused on our long-term strategy, driving increased shareholder value. And in support of that, we have announced our review of strategic alternatives for our Control Devices business. We expect that our performance, along with our unique mix of industry-changing product platforms as well as our consideration of strategic alternatives for control devices will continue to drive strong shareholder value. Thank you.